Christopher Miglino: Welcome to the SRAX Q3 2021 Earnings Call. We had another amazing quarter at SRAX. First, I would like to start with a list of some of our major accomplishments for the quarter. In the third quarter, we continue to consolidate BIGtoken in our financials. So we will talk about our financials that’s consolidated and Sequire on its own. Year-over-year revenue growth was 219% consolidated and 283% Sequire on its own. Quarter-over-quarter revenue growth was 8% consolidated and 5% Sequire on its own. We achieved our Q3 guidance with $8.31 million in revenue. We are giving Q4 revenue guidance of $10.1 million, implying fiscal 2021 revenue of $31.5 million, which is at the high-end of our full year revenue guidance that gave earlier this year. SRAX third quarter pro forma EBITDA was $1 million, excluding BIGtoken. We’ve had 12 quarters of consecutive Sequire revenue growth and we increased the number of Sequire subscribers from 225 to 250. Q3 bookings were $8.9 million. We saw many of the deals we are working on in July and August get pushed to Q4 when people are on vacation at the end of the summer. But for Q4, our bookings are now $12.5 million as of this call with a projection to hit $16.5 million in bookings for the fourth quarter. We are holding approximately $29 million in marketable securities, plus the shares that we set aside for the dividend. Cash on hand is $7 million. Revenue from existing contracts for 2022 is currently at $6.5 million without any -- without taking into consideration any renewals of existing clients. So we'll start off 2022 with a great base. While we're giving guidance for $10.1 million for q4, this includes some revenue for BIGtoken in the quarter. This slide shows the revenue growth of Sequire on its own, and the projected revenue for Sequire on its own in Q4, which will be $9.4 million. As you can see, we continue to see revenue growth as we add more and more companies to platform. While we saw an increase in revenue for the Q, we also hired up on the technical side, hired on the sales side, increase marketing spend, and experience a number of one-time costs associated with patents and the BIGtoken transaction. Our goal is to continue to grow the revenue and balanced operating the company at positive EBITDA. We booked $8.9 million in Q3. And while that's a great number, its eclipsed by the current bookings in Q4 of $12.5 million, with a projection to close out the quarter with $16.5 million in bookings. Even at its current level of $12.5 million, it's the most we've ever sold in one quarter. This puts us in a great position to start out 2022. As of today, we're at 250 subscribers to the platform. This is a double the number of subscribers from last year. What is to notice that we continue to see strong demand for the platform. As you can see, we increased the revenue for Sequire on its own by 286% year-over-year, and we took was a loss of $1.4 million for last year to a $1 million gain for this year. As of the end of Q3, we had 25.6 million shares outstanding. We have a little bit of convertible debt left, which Mike will talk about later. And we have close to 10 million warrants, most of which expire in January of 2022 and the rest throughout 2022. So we should exit 2022 warrant free. One of my favorite features of the Sequire platform is the ability to manage all of your warrants. This is a screenshot of our warrants out of the Sequire platform. Many are -- many of our warrants from deals we did years ago are expiring in 2022. The current in the money warrants will bring a little over $16 million in cash to the company in 2022. That does not include 4.5 million warrants that expire at the end of January 2022 with a 750 strike price. If those did get exercised, they would bring in an additional $41 million in cash to the company. But this slide is just a perfect example of the type of data that we're helping our clients manage inside the Sequire platform. Another great feature on the Sequire platform is our ability to see the position of institutional funds. Our institutional ownership has grown from 600,000 shares in the second quarter of last year to over 5.2 million at the end of the second quarter of this year. Based on projections, we think ownership of institutions has grown to 7 million for the third quarter. It should be noted that while this is the holding of the institutional filers, we also have 9.8 million shares that are in the hands of insiders and long-term SRAX investors. This brings the total number of shares in institutional like hands to over 16.8 million. This leaves approximately 9 million shares in the float. All of our success could not be achieved without our team. And I'd like to take this opportunity to thank our 153 employees for their contribution to the success we're experiencing. We could not accomplish this with -- without you and your dedication and hard work is greatly appreciated. Now the number of employees we have will change when BIGtoken and SRAX separate into different companies. But those people will always be part of the SRAX family. This is an image of our -- of the SRAX building as well. For some of you that are new to the story, and may be wondering, what are we doing to make all this money, let me give you a brief overview of Sequire. At the root of Sequire is the Sequire platform, a platform that helps public companies with essential tools that they need to manage being public. We then operate both virtual and in-person investor events that bring investors together with amazing companies. Our virtual platform is being used to operate conferences for some of the most notable investment banks in the country. Our goal will all of these platform is to help create community with a group of over 9 million identified profiles. We continue to grow our platform and are adding new features all the time. This quarter, we added a number of innovative features, and we have a new one to share with you today. The first feature we added is the ability for companies to launch their own IR websites within the Sequire platform. Every company needs an IR website. And we made it simple for our clients to do this at no additional cost to which is really the thing that should be noted here. It's the built into the platform itself. I've never met a CEO. That's not had a question about the short interest. We added the ability for company to see daily borrow rates in the platform and to get daily short interest reports. Daily borrow rates are a great indication of the demand that's out there to short the stock. The higher the borrow rate, the more people that are interested in shorting the stock itself, and the less supply there is available for people to short that stock. So this will give you a true indication of whether or not the company could be entering into a short squeeze, or if there is naked shorting going against the stock. Many times CEOs will say to me, Oh, we're having a lot of naked shorting against our stock, and we'll come into the platform we'll see a borrow rate of 1%. Well, that's very unlikely, because they can just borrow the stock at 1% and short the stock highly unlikely that they're doing it on a naked basis. But this is a great feature that's been added into the platform. Today we're announcing the beta release of Vira , the virtual IR Assistant that can be used by any issuer to answer any public available data on the company. The system ingest publicly available information and then utilizes AI to put it in a format that can answer questions for a current or future investor. This chat feature can be added to any IR website and help answer the many questions that inundate IR teams. We'll have a release of this product in the morning, and you could try it for yourself. Remember, it's a beta version, and it is learning every day. So the more questions you ask it, the more it learns. Here's an example of how it works. Let's ask the system some questions. As you can see, you would chat with this feature on the website like any traditional chatbot, but the person you're talking to is built with artificial intelligence, and never gets tired of answering questions about the company. Let's try a few basic questions so you can see how it works. What do you do? What was the revenue for last quarter? Who is on your board? Who are your analysts? Who is the transfer agent? Who are your investors so far? Communicating with investors is the core feature of the Sequire platform. We've added the ability to send text messages to your investor contacts. This is a unique method by which to communicate with prospects who may already be invested, or may invest in the future. While we announced the release of Microcaps.com last quarter, this quarter, we're announcing that the site has hit 200,000 monthly unique visitors and has made it to the number one position on Google under the search term Micro Caps. We look forward to adding a lot more content to the site. We gather a significant amount of data on users are visiting the site. And that helps us in targeting people in the future. We've also added a number of video interviews of all -- many of our Sequire clients and attendees to the LD Micro Conference. And this is a feature that we're going to be adding on a quarterly basis. We'll be interviewing companies and getting an update on their quarterly review. So that people can come and visit that information right within Microcaps.com. Live events are back. And we kicked this off with the LD Micro event in October with over 750 attendees in-person and with over 12,000 online attendees. These people were learning about 140 different public companies. The event was a big success and taught us that people are ready to get back to in-person events. So our team is in the midst of planning all of the events, both virtual and in-person for 2022. And we have a great slate of stuff that we're going to be adding this year. I'd now like to turn the call over to Michael Malone, who gives us an overview of the financials. Mike?
Michael Malone: Thanks, Chris. Now for a financial review. First, I'll go through a revenue margin and EBITDA performance for the quarter. Then I'll move into a discussion around liquidity, marketable securities, and I'll finish with an overview of the one-time special distribution we announced at the end of last quarter. Revenue for the quarter was $8.3 million on a consolidated basis, which reflects an increase of 219% and 8.3% from the prior quarter, which was in line with our expectations. Sequire continues to be our major driver of growth. Looking at our business without BIGtoken, we finished a quarter with revenues of $7.7 million, which was up 278% year-over-year and 5% versus the prior quarter. On a consolidated basis, our margins continued to perform in line with our expectations. For the quarter, we finished with gross margins of 78%, which reflects an increase of 1,200 basis points from the prior year. The continued expansion in our margins in terms of absolute dollars, highlights the high operating leverage of our SaaS based Sequire platform. Moving 